Operator: Good afternoon, ladies and gentlemen, and welcome to Rumble Incorporated's First Quarter 2025 Earnings Call. All participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Shannon Devine, investor relations for Rumble. Please go ahead.
Shannon Devine : Thank you, operator. I'm here today with Chris Pavlovski, Founder, Chairman, and CEO of Rumble, and Brandon Alexandroff, CFO. A press release detailing our first quarter 2025 results was released today and available on the investor relations section of our website. Before we begin the formal presentation, I would like to remind everyone that statements made on this call may include predictions, estimates, or other information that might be considered forward-looking. All forward-looking statements are made only as of the date of this call and should be considered in conjunction with the cautionary statements in our earnings release and the factors included in our filings with the SEC. Future company updates will be available via press release and the company's identified social media channel. I will now turn the call over to Rumble's Founder, Chairman, and CEO, Chris Pavlovski.
Chris Pavlovski : Thanks, Shannon. Our first quarter marked the beginning of a new era where we turned the page from a U.S. election and solidified our balance sheet with the close of our Tether transaction in February. In addition to this, the first quarter showed real signs of success, especially around Rumble Video, Rumble Ads, and Rumble Cloud. With respect to the video business, I was excited to see a clear payback from our investments in the Rumble product. Our user retention in Q1 greatly exceeded the previous post-midterm election cycle, something our team was laser-focused on accomplishing since Q1 2023. Specifically, we posted MAUs of $59 million this quarter, which is an 87% retention from Q4. This is a massive improvement from the 60% retention we experienced in Q1 2023 after the U.S. midterm elections back in Q4 2022. While we still have a lot of work to do to continue to improve retention across our portfolio of applications, I am proud of how far we have come in so little time. In my mind, this was a critical temperature check for the video product. This is now our 13th consecutive quarter over 40 million MAUs and 7th consecutive quarter exceeding 50 million MAUs, further demonstrating the stability and continued growth of our core user base. In addition, I am pleased with our revenue growth of 34% compared to the same quarter last year. Now, with more positive news, let's dive into the Rumble Advertising business. We previously noted that we expect to see some of the artificial headwinds we faced with Corporate America to turn into tailwinds with the new administration in the U.S. While it is still very early, I can now confidently say we are starting to see traction. In fact, we have some notable names and partnerships. These include a brand campaign we successfully executed with Netflix, and we are currently executing on campaigns for Crypto.com and Chevron. These campaigns include a mix of media across RAC and creator sponsorships, which validates the value of our diversified offering for larger brand advertisers. On the product side with RAC, we are also actively exploring both programmatic and AI-based tools to expand and accelerate progress in this segment. While these technologies have great potential, we do expect the penetration of this segment at scale to take some time before it meaningfully contributes to our advertising business. Before I jump into cloud, I want to touch on one of the more ambitious projects Rumble is undertaking in partnership with Tether, the Rumble Wallet. Rumble Wallet is still in its development stage, but I'm happy to announce that we'll be aiming to bring this product to market in Q3 of this year. Additionally, we're currently in talks with major crypto exchanges to become their on and off-ramp partner. The Rumble Wallet will be Rumble's gateway to monetize international markets. The development teams are also working expeditiously to localize the Rumble Video product in various languages so that we can launch all international markets simultaneously with the Wallet. Our management team sees this as a major growth opportunity for the company. Not only can this contribute to major MAU growth, but we also think there is an enormous potential to monetize with the wallet, either through the on-off-ramp exchanges and or through the greater economy. To be very clear, Rumble Wallet, in partnership with Tether, will directly compete with Coinbase. Our goal is to become the most prominent non-custodial Bitcoin and Stablecoin wallet. Now, with respect to Rumble Cloud, we are super proud to have announced a cloud partnership with the Government of El Salvador in the first quarter. Through this pertinent partnership, we expect to refine our product offering to serve the government vertical and expand into other opportunities. It is becoming increasingly clear that there is a real appetite for the Rumble Cloud at the highest levels of government around the world. In addition, we also made further progress with the sports vertical, where we announced that the Tampa Bay Buccaneers will be joining our cloud and leveraging our storage solutions. With these announcements, we continue to be energized by the potential of the cloud business. Before I conclude, I want to touch on one other strategy that might not be as noticeable as the rest. In the past, Rumble hasn't been shy to acquire businesses such as Collin and Locals. In addition to investing in our core three products, Rumble Video, Rumble Ads, and Rumble Cloud, our management team is still very seriously focused on M&A strategy and evaluating strategic opportunities as they come. 2025 is off to a great start. The video product is sticking users in a way it couldn't after the 2022 midterm elections. Cloud continues to strengthen, and brands are finally starting to knock on our door. I have to say, on a personal note, I was waiting for the quarter that I could finally announce that we secured one brand advertiser, and today I was able to name several. Now I'll pass to Brandon Alexandroff to walk through the financials.
Brandon Alexandroff : Thanks, Chris. I'll now take you through our first quarter 2025 financials at a very high level before turning the call over to the operator for Q&A. For the first quarter of 2025, we reported revenues of $23.7 million, an increase of $6 million or 34% when compared to $17.7 million in the first quarter of 2024, of which $4.6 million is attributable to higher audience monetization, and $1.4 million was attributable to higher other initiatives. The increase in audience monetization revenues was due to $3.6 million in higher subscription revenue, as well as $1 million from tipping fees, licensing, platform hosting, and advertising. The increase in other initiatives revenue was due to a $1.1 million increase in advertising inventory being monetized by our publisher network, and a $0.3 million increase in cloud services offered. ARPU was $0.34 for the first quarter compared to $0.39 in the fourth quarter of 2024. The decrease from the fourth quarter was attributable to lower advertising revenue offset by higher subscription revenue. Cost of services decreased to $30 million for the quarter compared to $31.8 million in the first quarter of 2024, primarily due to a reduction in programming and content costs of $3 million offset by an increase of $1.2 million in other cost of services, including payment processor fees and costs paid to publishers. Drawing your attention to general and administrative expenses of $16.6 million in the quarter, the $7.3 million increase compared to the first quarter of 2024 is primarily the result of two one-time payroll and related events. First, a one-time $4.8 million increase in compensation costs related to the amicable departure of an executive and a director, of which $3.8 million was non-cash and is a result of accelerating the vesting of options in RSUs and extending the exercise period of options. And second, a one-time $2.3 million increase in payroll taxes associated with stock options exercise in relation to the tender offer stemming from the strategic investment from Tether. Adjusted EBITDA loss for the first quarter of 2025 was $22.7 million, a 14% improvement compared to a loss of $26.5 million in the first quarter of 2024. As we ramp up monetization and maintain discipline around our cost structure, we continue to expect to move materially towards adjusted EBITDA breakeven in 2025. This remains the goal today, and with the recently closed capital infusion from Tether, we have the increased flexibility to further invest in initiatives that could accelerate and expand our business sooner than originally anticipated. Moving to our cash position, we ended the quarter with $301.3 million in cash and cash equivalents, a significant increase from the $114 million of cash we had at the end of 2024 as a result of the Tether investment. We also held approximately $211 Bitcoin at quarter end, all of which was purchased during the quarter and is worth approximately $21.3 million as of noon today, May 8, 2025. That concludes my prepared remarks. I will now turn the call over to the operator to open up the line for questions.
Operator: [Operator Instructions] We will take our first question from Scott Devitt with Wedbush. Your line is now open.
Scott Devitt : Hey guys, I wanted to ask a little bit about the Bitcoin efforts and the Wallet. First, what ultimately are you trying to accomplish with the Bitcoin treasury in terms of how you think of acquiring Bitcoin in relation to traditional cash and where you're comfortable taking Bitcoin levels to relative to the needs to possibly have more liquidity in terms of cash? Are you thinking of them similarly in terms of being one exchange for the other so you can use the Bitcoin to fund the business when you need it as well? I'm just a little curious about that given the differences in the volatility. That's the first question and then I had a follow-up on the Wallet.
Chris Pavlovski : Thanks for the question. This is Chris. With respect to the treasury, our board approved up to $20 million of purchasing for the Bitcoin treasury. There is no further strategy outside of that that we've announced at this point right now. But this kind of dovetails into the strategy that we have with the Rumble Wallet. As we launch the Rumble Wallet, we're really looking to use that as one of the tools for the creator economy where people can tip and subscribe and transact, especially in international markets, to their favorite creators and creators can use these wallets as a form of payment, a form of receiving payment, et cetera. As that becomes a very important part of our business when we launch the wallet later this year in Q3, that's one of the strategies behind having a treasury so that we can be able to hold more and further bitcoin with respect to that.
Scott Devitt : Got it. But no ambitions at the moment anyway that you've discussed about raising the ratio of bitcoin relative to the cash position beyond levels that it currently resides at?
Chris Pavlovski : We're continuing to evaluate that and we haven't really made any determinations on that quite yet. But at this point right now, the only thing that we've approved is that the board level is up to $20 million of purchasing.
Scott Devitt : Okay. And then on the Wallet, can you just walk through the go-to-market or the use case for the user in terms of what are the reasons, one, two, three, why a user ultimately will adopt the Rumble Wallet to store their crypto and utilize it for the functionality that it provides versus Coinbase or others in the market? And kind of how you think about that, where you fit in the market and why.
Chris Pavlovski : So one of the demands that we have on the creator side is to get paid in Bitcoin or get paid in a Ctablecoin. And there's obviously a huge demand for that on the creator end and the creators that adopt Rumble have a huge trust factor with Rumble. So we believe that Rumble would be one of their most prominent places to hold and store with a Rumble non-custodial wallet. In addition to that, when you start exploring these international markets, you start to notice that a lot of the viewers will transact in crypto rather than, let's say, typical visas that you see here in North America. So we think this is a really good strategy to monetize international users as we go international. And this is going to require a lot of work, and we're working on this as we speak right now, and localizing, using AI to help localize the entire Rumble app and all the Rumble content and be able to go to these markets and serve these different markets. But we do believe that USD Tether, with their amount of users around the world, we can very easily tap into that and bring a lot of that revenue into the creator economy. So I would say, starting from the top, the demand from the creators is number one. Number two is the demand from the users. And this would be the first platform that I know of that attacks this market in the way that we're going to do it with the Wallet.
Scott Devitt : And last question, given this is still relatively new, and historically you've had the cloud business and the content business and the overlay increasingly of monetization efforts on the content business. How do you think about Bitcoin, crypto, the wallet, in terms of how integral it is to the business in coming years relative to what the operating business was prior to that?
Chris Pavlovski : I don't believe this changes the operating business at all. I think this complements the business in its entirety. We're seeing a lot of demand from crypto customers on cloud. We have a significant one actually testing it right now. And then in addition to that, it's a tool that creators and our viewers actually want. A lot of these creators desire getting tips in Bitcoin. It's a very desirable way of getting paid for creators, and it's something that I believe will give us a real competitive advantage over YouTube. Having this on our platform is something that YouTube does not have, and creators in general are very, very pro-Bitcoin, especially the crowd that you find on Rumble. So we see this as extremely complimentary, not distracting at all, and it just drives home with our current ethos.
Scott Devitt : Perfect. Thank you so much.
Operator: Thank you. [Operator Instructions] We'll take our next question from Francesco Marmo with Maxim Group. Your line is open.
Francesco Marmo: Hi, everybody. Thank you for taking my question. Congratulations on the quarter. Two quick questions from me, if I may. First of all, on the brand partnership side, great news. I was wondering whether you guys could share a bit more details on the partnerships, maybe the scope, the duration, and maybe if you already have some initial feedback either from the brand or the users.
Chris Pavlovski : In terms of the only one brand campaign completed, and we received very positive feedback on that one brand campaign. That was with Netflix. And currently ongoing right now, we have Chevron, and we have Crypto.com, so we're hoping to get more feedback in the coming weeks and months on that. This is to me, a major win. This is not something I was able to talk much about in the past. We never really had brand advertisers, and all of a sudden now that's something we're talking about. It's a huge win for Rumble. And it happened right after the elections, which I think says a lot. And I hope to see a lot more of that as the months progress.
Francesco Marmo: That's amazing. And we do look forward to hear more as the partnerships evolve. And then the second question on M&A, super, super high level, very interesting comment in the opening remarks. I was wondering whether you guys could give us a sense in terms of what you're thinking, what kind of assets maybe, what kind of verticals or what kind of capabilities you would be interested to add on.
Brandon Alexandroff : I can't provide any more information other than what I already said. We're going to look at opportunities as they come. And this is a very important focus for us in the current year.
Francesco Marmo: Okay, okay, that makes perfect sense. Thank you and congratulations again.
Brandon Alexandroff : Thank you.
Operator: Thank you. This does conclude today's program. Thank you for your participation. You may disconnect at any time and have a wonderful day.